Operator: While sites are on hold, we appreciate your patience and ask that you please continue to stand by. Please standby. Your meeting is about to begin. Good day, and welcome to this Tapestry, Inc. conference call. Today's call is being recorded. Later, you will have the opportunity to ask questions during the question and answer session. To register to ask a question at any time, please press 1 on your telephone keypad. At this time, for opening remarks and introductions, I would like to turn the call over to the Global Head of Investor Relations, Christina Colone.
Christina Colone: Good morning. Thank you for joining us. With me today to discuss our second quarter results as well as our strategies and outlook are Joanne Crevoiserat, Tapestry's Chief Executive Officer, and Scott Roe, Tapestry's Chief Financial Officer and Chief Operating Officer. Before we begin, we must point out this conference call will involve certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. This includes projections for our business in the current or future quarters or fiscal years. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Please refer to our annual report on Form 10-K, the press release we issued this morning, and our other filings with the Securities and Exchange Commission for a complete list of risks and other important factors that could impact our future results and performance. Non-GAAP financial measures are included in our comments today in our presentation slides. For a full reconciliation to corresponding GAAP financial information, please visit our website www.tapestry.com/investors, and then view the earnings release and the presentation posted today. Now let me outline the speakers and topics for this conference call. Joanne will begin with highlights for Tapestry and our brand. Scott will continue with our financial results, capital priorities, and our outlook going forward. Following that, we will hold a question and answer session where we will be joined by Todd Kahn, CEO and Brand President of Coach. After Q&A, Joanne will conclude with brief closing remarks. I'd now like to turn it over to Joanne Crevoiserat, Tapestry's CEO.
Joanne Crevoiserat: Good morning. Thank you, Christina, and welcome, everyone. Our second quarter outperformance demonstrates the compounding impact of our Amplify strategies. During the key holiday period, we delivered pro forma revenue growth of 18%, expanded adjusted operating margin by 390 basis points, and grew earnings per share by 34% versus prior year, each exceeding our expectations. These standout results, combined with the momentum in our business, enabled us to confidently increase our outlook for the year, reinforcing that our advantages are structural and sustainable and underscoring our commitment to driving durable growth and value creation. I want to recognize our exceptional global teams. Their passion, creativity, and disciplined execution made these results possible. Now turning to the strategic actions from the quarter, actions that are delivering results today while advancing our long-term growth ambition. First, we built emotional connections with consumers, acquiring over 3.7 million new customers globally in the quarter, driven by a strategic focus on Gen Z. This continues to be central to our healthy top-line growth as engaging consumers earlier in their purchase journey enhances repeat purchasing and lifetime value over time. We also drove growth with our existing customer base, demonstrating broad-based strength. These dynamics reinforce a durable competitive advantage, our ability to consistently attract and retain new generations of consumers to our brands. Next, we delivered fashion innovation and product excellence led by Coach, where desire and demand for the brand are strong. And we're winning in our core with our leather goods offering leading our growth driven by higher AUR and unit volume. The combination of craftsmanship, creativity, and value we offer to consumers at scale continues to be a clear competitive and structural advantage of our business and brand. And we powered global growth through compelling experiences, delivering double-digit gains in North America, Greater China, and Europe, significantly outpacing the industry and growing market share in each of these regions. Our direct-to-consumer model keeps us close to our customers, allowing a deeper understanding of their needs and enabling more relevant brand building. Which together with the agility of our teams, sharpens execution and fuels growth. This was evident again this quarter as we achieved double-digit growth in stores and online at strong and increasing profitability. Overall, we delivered record quarterly results, with a business that is strong, differentiated, and well-positioned for the future. Now moving to our results by brand. Turning to 25% and margins expanding. Growth accelerated from the first quarter on a one and two-year basis, with several key indicators reinforcing the strength of the brand and the durability of its growth. Customer acquisition once again drove top-line gains, welcoming 2.9 million new customers to the brand this quarter, rising meaningfully over the prior year, led by continued growth with our target Gen Z consumer. Our relevance with Gen Z is influencing all other generations, and we're driving healthy gains from existing customers, reflecting broad and increasing brand desire and reach. Growth was led by our core leather goods assortment, where we have deep expertise and clear differentiation with broad-based strength and no single family accounting for more than 10% of sales. Within leather goods, growth was well diversified, with both average unit retail and unit volumes increasing at mid-teens rates, demonstrating multiple drivers of sustainable growth in the core. And momentum remains strong across key geographies, including North America up 27%, Greater China rising 37%, and Europe increasing 26%, highlighting the global resonance of the brand and the effectiveness of our regional strategies. With a large total addressable market of nearly 2 billion consumers, including 275 million at the point of market entry, we have under 1% share and meaningful opportunity ahead. Coach continues to benefit from its expressive luxury positioning, combining 85 years of heritage, craftsmanship, creativity, and value to build enduring customer relationships and support sustained growth. Now to discuss our second quarter results in more detail. Our creative teams are delivering compelling innovation to consumers through a blend of magic and logic that are the hallmarks of our brand. Our icons continued to lead consistent with our strategy. In particular, the Tabby franchise, the New York family, including the Brooklyn and Empire, and Terry, Juliet, and Laurel, outperformed. Driven by accelerated Gen Z customer recruitment. By animating our proven hero silhouette, through new colorways, materials such as crystals, and sizes, we built on our leadership in our core category and delighted our consumers during the key holiday season. Importantly, Coach's accelerated growth in leather goods highlights the enduring values of the brand and the value we offer in the luxury market. Looking forward, we have a strong product pipeline that we believe supports gains in both AUR and units, reinforcing the diversified drivers in place to support healthy and sustained growth while never compromising the value proposition we offer to consumers, a key structural advantage. Next, turning to footwear. We delivered high single-digit growth in the quarter fueled by sneakers with the continued success of the SoHo family. Building on our footwear assortment that is designed with the timeless Gen Z consumer in mind, we also successfully launched the Margo family, featuring sandals and slingbacks. Footwear remains a long-term growth opportunity for Coach given our brand strength, low share of the market, and the category's relevance to our target consumer. Touching on marketing, the compounding benefits of our strategic brand investments were evident during the quarter, with a clear focus on long-term demand creation. We increased marketing spend by approximately 40% versus the prior year, with a continued shift toward top-of-funnel brand building to support sustained customer acquisition. This sustained investment in fueling brand desire supported accelerating customer acquisition during the quarter, even as we meaningfully reduced promotional messaging during the most discount-driven period of the year, demonstrating both our commitment to the strategy and its effectiveness. Importantly, we continue to prioritize building emotional connections with Gen Z consumers globally through the Gift for New Adventures campaign. A new holiday campaign positioning the brand as the ultimate destination for gifts that spark confidence and self-expression in the year ahead. The campaign featured a diverse global cast, including Oscar-nominated actor Elle Fanning, actors Charles Melton and Koki, and K-pop rapper Soyeon. Building cultural relevance and reach across key markets. In addition, to support growth acceleration in China, we launched a collaboration with Clot, a leading Chinese streetwear and lifestyle brand. The partnership bridges heritage and street sensibility, fusing Coach's expressive spirit with Clot's disruptive approach to daily wear. Reinterpreting iconic Coach silhouettes through a China-specific streetwear lens. Collectively, these actions reflect a disciplined, long-term approach to brand building at scale. Deepening cultural relevance, accelerating consumer acquisition at the point of market entry, and reinforcing a growing brand moat around consumer understanding and sustainable demand creation. And finally, we are strengthening brand desire through distinctive, immersive retail experiences that elevate how consumers engage with Coach. We continue to bring expressive luxury to life through unique store formats, including our newly remodeled stores in Ginza, Yorkdale, Macau, and the Mall Of Dubai. These locations reinforce brand desirability while providing valuable insights that will inform our future store investments and expansion. Our Coach Coffee Concepts at Jersey Gardens and Woodbury Commons also continue to perform ahead of expectations, resonating especially well with younger consumers. In closing, Coach continues to deliver standout results. Guided by a clear brand vision and a deep focus on the consumer. Our teams are operating with purpose and discipline. Translating insights into meaningful action and impact. Importantly, this performance reinforces our conviction that Coach will be a $10 billion brand over time, with best-in-class margins, and an unwavering commitment to what makes the brand iconic, valued, and loved by consumers around the world. Now moving to Kate Spade. Our results for the quarter matched expectations from strategy to financial outcomes. In the second quarter, revenue declined 14%, reflecting in part deliberate actions to reset the brand through a pullback in promotional activity. At the same time, we made incremental investments to advance the turnaround underway, remaining focused on strengthening the brand's foundation for long-term growth. Once again, where we placed our focus in investments, we drove progress as tracked against the leading KPIs we've previously outlined. We saw a lift in brand consideration with our holiday marketing campaign and delivered an improvement in Gen Z acquisition trends driven by handbags. While still early in the turnaround, the improvement in these KPIs are signs that we are executing our strategies and they're beginning to take hold. To touch on our results of the quarter in more detail, our first strategic priority is to fuel Brand Heat through our uplifting luxury positioning to become top of mind and relevant with the Gen Z Connector, our target customer. In the quarter, we stood behind our Spark Something Beautiful campaign featuring influential Gen Z celebrities. We updated the campaign with a holiday twist to make it festive while reinforcing a cohesive message over time. This campaign drove an improvement in purchase intent among Gen Z consumers, reinforcing our investment in brand building. Next, we advanced our strategy to build handbag blockbusters, with a consumer-informed assortment that is more relevant and focused. During the quarter, we made important progress. Our handbag blockbusters, the Duo, Kayla, Margo, and 454, outperformed the balance of the offering. With higher AUR and strong Gen Z acquisition. This is another example of how our strategic focus is translating into early positive signs in the business. And as we've discussed, we've also brought more focus to the assortment, reducing handbag styles by 40% this holiday, allowing us to stand behind our big ideas with clarity and intention, while supporting a reduction in promotional activity, an increase in full-price selling, and handbag AUR growth. These actions are consistent with our commitment to building a healthier brand. Finally, touching on our third strategic pillar to maximize compelling omnichannel consumer experiences. A critical part of this work involves removing deselection barriers, with cohesive messaging that elevates the brand and builds desire. As part of this work, we tested updates to the visual experience and merchandising in 10 locations. These stores experienced a lift in conversion and ADT and outperformed the balance of the chain. We plan to bring this format to additional locations in North America by fiscal year-end. Overall, we are strengthening the fundamentals at Kate Spade to drive sustainable, profitable growth. This is a unique brand with heritage, distinctive positioning, and meaningful long-term opportunities. With disciplined execution, the benefit of continued learnings from Coach's success, and Tapestry's brand-building capabilities, we're acting with focus to realize the brand's full and significant potential. In closing, Tapestry achieved another record quarter and we raised our outlook for the year, showcasing the power of our Amplify Growth Agenda and that our structural advantages are enduring. As we move forward, we do so with momentum and confidence. We have the strategy, capabilities, and team in place to drive growth and value creation for years to come. I'll now turn it over to Scott.
Scott Roe: Thanks, Joanne, and good morning, everyone. In Q2, we outperformed expectations across revenue, operating income, and earnings, delivering record sales and EPS. In the quarter, on an adjusted basis, we achieved pro forma revenue growth of 18% led by 25% growth at Coach. We expanded operating margin by 390 basis points, and we delivered earnings per share of $2.69, an increase of 34% versus last year. Turning to the details of the second quarter. I'll begin with a discussion of revenue trends on a pro forma constant currency basis. Sales increased 18% compared to the prior year and outperformed our expectations. These results reflect strong global momentum. By region, North America sales increased 17% compared to the prior year, ahead of plan and led by 27% growth at Coach, driving share gains. Importantly, we did this while expanding both gross and operating margins in the region. In Europe, revenue grew 22% above last year, driven by strength in our direct business and reflecting market share gains in the region. Strong new customer acquisition, particularly among Gen Z, and increased local consumer spending continued to fuel our momentum. Given our market positioning and low penetration, we see significant opportunities for further growth in this large and attractive market. In Greater China, revenue outperformed our expectations, increasing 34% driven by broad-based growth across channels and continued market share gains. Digital was a notable contributor with Coach ranking as a top-performing brand over the 11 period. Our results reflect the impact of our steadfast strategies and investments and we are well-positioned to drive sustained momentum in this key region. In other Asia, revenue increased 12% led by growth primarily in Australia and South Korea. And in Japan, sales declined 6% as expected, driven by an intentional pullback in promotions. Now touching on revenue by channel for the quarter. We delivered gains across channels fueled by direct-to-consumer growth of 17% compared to the prior year. This included an increase in digital of approximately 20% and a mid-teens percentage increase in global brick-and-mortar sales, with all channels at strong and increasing profitability. Moving down the P&L, we continue to drive healthy margin expansion versus the prior year, delivering a second-quarter gross margin of 75.5%, a 110 basis points above prior year. This was driven by operational expansion of approximately 250 basis points as well as a benefit from the divestiture of Stuart Weitzman of 50 basis points. These benefits fully offset a negative tariff and duty impact of 190 basis points which included approximately 140 basis point impact on Coach's gross margin and a 520 basis point impact on Kate Spade's gross margin. Overall, our strong gross margin remains a core element of our value creation model supported by our agile supply chain, which delivers craftsmanship at scale, a core competitive advantage of 8% and leveraged by 270 basis points, reflecting our focused approach to reinvest in the business, notably in marketing, which represents 11% of sales, while maintaining strong operational discipline. So taken together, operating margin expanded 390 basis points in the quarter, driving profit expansion of 31% over the prior year which was ahead of expectations. And our second-quarter EPS of $2.69 grew 34% over the prior year, also exceeding our guidance. Now turning to shareholder returns. Starting with our dividend, our board of directors declared a quarterly cash dividend of 40¢ per common share representing $81 million in dividend payments for the quarter. Additionally, during the second quarter, we spent $400 million to repurchase approximately 3.6 million shares for a total of $900 million or approximately 8.3 million shares repurchased at an average stock price of $109 year to date. In fiscal 2026, we now expect to return $1.5 billion or 100% of expected adjusted free cash flow to shareholders through dividends and share repurchases. This includes over $300 million in dividend payments for an annual rate of $1.60 per share as well as $1.2 billion in share repurchases which is an increase from our prior outlook of $1 billion. Our significant return of capital to shareholders is a testament to our strong organic business and robust cash flow generation and underscores our confidence in the future. And now before turning to the details of our balance sheet and cash flows, I'd like to reiterate our capital allocation priorities. Which are unchanged. We have two foundational commitments. First, to invest in our brands and business to support long-term sustainable growth. And to return capital to shareholders via our dividend, with the goal over time to increase the dividend at least in line with earnings growth. Beyond these two foundational commitments, our robust cash flow generation provides us with balance sheet flexibility for value creation. This includes the opportunity for share repurchase activity under our previously announced $3 billion share repurchase authorization. And finally, utilizing our rigorous Fourier Lens framework, we consistently evaluate opportunities for strategic portfolio management. Importantly, and as previously communicated, before moving forward with any acquisition, we will ensure Coach remains strong and Kate Spade has returned to sustainable top-line growth. These clear capital allocation priorities are underpinned by our firm commitment to a solid investment-grade rating and maintaining our long-term gross leverage target of below 2.5 times. Now turning to the details of our balance sheet and cash flows. We ended the quarter with nearly $1.1 billion in cash and investments, and total borrowings of $2.4 billion. Together, this represents a net debt of $1.3 billion. At quarter-end, our gross debt to adjusted EBITDA leverage ratio was 1.2 times, more than a full turn below our long-term target. Adjusted free cash flow for the quarter was an inflow of $1 billion and CapEx and cloud computing costs were $54 million. Inventory levels at quarter-end were 4% below prior year on a reported basis and up mid-single digits excluding the impact of Stuart Weitzman. As we enter the second half of the fiscal year, our inventory continues to be current and well-positioned globally and by brand. For fiscal 2026, we continue to expect inventory levels to be down modestly year over year on a reported basis. Now moving to our guidance for fiscal 2026 which is provided on a non-GAAP basis and excludes the impact of Stuart Weitzman from fiscal 2026 expectations. With the critical holiday period behind us, we are raising our full-year guidance incorporating our Q2 outperformance and a stronger second-half outlook. Now turning to the details. For the fiscal year, we expect revenue of over $7.75 billion representing pro forma growth of approximately 15% on a nominal basis or 14% constant currency with FX planned to be a 70 basis point tailwind. Touching on sales details by region at constant currency on a pro forma basis, In North America, we now expect revenue to increase low double digits, In Europe, we expect growth in the area of 20%. In Greater China, we now expect to achieve over 25% growth versus the prior year, In Japan, we're forecasting a high single-digit decline And in other Asia, we now anticipate low double-digit gains. And by brand, this guidance incorporates high teens percentage growth at Coach. At Kate Spade, we continue to embed a high single-digit decline in revenue for the year with sequential improvement planned for the second half. In addition, our outlook assumes operating margin expansion of approximately 180 basis points. We now anticipate gross margin to increase in the area of 20 basis points, a meaningful improvement from our prior outlook and completely mitigating the impact of tariffs. This assumes operational gross margin expansion of roughly 180 basis points due primarily to improvements in AUR. Further, we expect to realize a 60 basis point structural to gross margin from the disposition of Stuart Weitzman. These planned margin drivers are now expected to fully offset a nearly 200 basis point headwind from incremental tariff and duties as well as an FX headwind of 20 basis points. On SG&A, we expect leverage of roughly 160 basis points favorable to our prior outlook. This reflects our diligent expense control, partially offset by ongoing growth-focused investments. To this end, we expect marketing as a percentage of sales to increase around 130 basis points versus last year, approaching 12% of revenue. We also realized a 20 basis point benefit to expenses from the sale of Stuart Weitzman. Pour some texture on operating profit by brand, we anticipate Coach will expand its operating margin even with tariff pressure and continued brand investments. At Kate Spade, we continue to expect a modest profit loss given the outsized tariff impacts and brand investments as previously mentioned. Moving to below the line expectations for the year, net interest expense is expected to be approximately $65 million. The tax rate is expected to be approximately 17%, and our weighted average diluted share count for the year is forecasted to be 211 million shares which includes the expectation for $1.2 billion in share repurchases. Taken together, we now expect EPS to be $6.40 to $6.45 representing growth over 25% compared to last year and well ahead of our prior outlook, of $5.45 to $5.60. Moving on, we anticipate adjusted free cash flow in the area of $1.5 billion. And finally, we expect CapEx and cloud computing costs to be in the area of $200 million. We anticipate about 60% of the spend related to store openings, renovations, and relocations, with the balance primarily related to our ongoing IT and digital investment. Touching on the shaping of the back half of the year, for context, we raised our second-half outlook based on the momentum in the business. Expect total pro forma revenue to increase at a low double-digit rate in the back half which represents over 20% growth on a two-year stack basis in line with the first half. This embeds mid-teens growth versus prior year at Coach in the second half or over 30% growth on a two-year stack basis consistent with the first half. At Kate Spade, we're continuing to incorporate a mid to high single-digit decline in the second half compared to the prior year. For Q3 specifically, our sales trends today remain strong, and support the higher outlook we've given today. And from a modeling standpoint, we've incorporated a total sales increase in the area of percent on a pro forma constant currency basis. FX is planned to be more than a 150 basis point benefit to nominal sales, By brand, Coach has planned up high teens on a constant currency basis versus prior year, while Kate Spade is expected to decline high single digits. Turning to operating margin for the quarter. We expect expansion in the area of 70 basis points over 150 basis points of SG&A leverage offsetting a decline in gross margin due entirely to tariff-related headwinds. Q3 EPS is forecasted to be approximately $1.25 an increase of over 20%, including a tax rate of roughly 14%. So in closing, we delivered another record-breaking quarter highlighted by strong top and bottom-line growth. From this position of strength, we raised our outlook for the year. A clear reflection of our proven strategies and our disciplined and consistent execution. Moving forward, our business is strong. And we have competitive and structural advantages to fuel durable growth and sustainable value creation for years to come. I'd now like to open it up for your questions.
Operator: Thank you. If you'd like to ask a question, press 1 on your keypad. To leave the queue at any time, press 2. Once again, that is 1 to ask a question. And we'll pause for just a moment to allow everyone a chance to join the queue.
Operator: Thank you. Our first question comes from Matthew Boss of JPMorgan. Please go ahead. Your line is open.
Matthew Boss: Thanks, and congrats on a great quarter and the morning's material beat and raise.
Joanne Crevoiserat: Thanks, Matt.
Matthew Boss: So your fiscal 2026 earnings guide of $6.40 to $6.45, it's 15% or 80¢ higher than your forecast just three months back. Roughly 22% operating margin that's roughly two years ahead of your Investor Day timeline. So Joanne, what are you seeing today that gives you confidence in this delivery? And what do you see as the path to continued or ongoing revenue and margin drivers from here?
Joanne Crevoiserat: Well, thanks, Matt, and good morning. This was truly a standout quarter, but it reflects the power of our strategies, our brands, and our business model. The results we're delivering reflect our systemic approach to building our brands and our business for healthy and sustainable growth. And our efforts, as you can see, are compounding. These are outcomes of the work we've been doing methodically over years. It starts with deeply understanding our consumer and then bringing the magic or in Tapestry fashion, bringing the magic and the logic together to deliver compelling product and experiences to consumers. And then investing to scale our efforts. And that's driving customer acquisition, which is strong around the world. That's what's driving our business today. And not only are we delivering healthy growth, with expanding operating margins, as you pointed out, we're also increasing our marketing investments that are driving new customer acquisition both today, but also for the future. So what gives us confidence in the future is that our strategies and our execution are working. And we outlined at our Investor Day last September, we have a massive TAM. With low share, and we're applying these disciplines around the world. We see a tremendous opportunity into the future to drive consistent and durable growth. In this momentum we have, we're confident in our capabilities and our brands and our team. And the financial outcomes are evident in our second-quarter results. But I'll turn it to Scott to unpack what that means for our outlook.
Scott Roe: Yeah. Thanks, Joanna. Thanks for the question, Matt. You know, I would just say this is a moment we prepared for. So we've been known for operational discipline for quite a while, but what you see in the results in Q2 and in the outlook for the year is a new gear up growth. And when you add growth on top of this operational what you have is a really powerful machine. Just a few highlights I would point out. So thanks for the recap. 80¢ EPS increase. That's 15% over the prior guide, and 50 of that is the beat in Q2, but importantly, we also took up the second half. By 30¢. And that's really based on the top line. Right? So we took again, the beat in Q2 on the top line. And increased the second half. So now at 14% constant currency growth for the year, we've got a balance on a two-year stack first half versus second half. Based on the confidence we see in the future. And not only are we incorporating double-digit top-line growth, and operating margin with the investments in marketing that we mentioned. But also importantly, in this outlook, we're increasing our gross margin guide. So that means we've fully mitigated the impacts of tariffs this year based on the actions that we've taken and the strong AUR gains. Lastly, when you put all that earnings and gross together, it's a cash machine. So $1.5 billion. That's $200 million better than we guided last quarter. We're returning all of that $200 million, 100% of our free cash flow back to you, the shareholders, via additional repurchases. And I think that just speaks to the strength of the model and, frankly, our confidence in the future. But here's the best part. We're not done. You asked about the future. Think of this new guide, fiscal 2026, as the base the rebaseline for growth going forward. We've established mid-single-digit revenue and double-digit earnings EPS as our baseline. That's our floor. And with that, we see expanding gross margins and operating margins from here. Why? Global opportunities led by international that's accretive to margins. Gross margin expansion driven by AUR and AUC. SG&A leverage based on the growth we see discipline while we're investing back in marketing. So this new gear of growth with operational discipline from our standpoint yields exceptional TSR as you look forward.
Matthew Boss: Congrats again. Best of luck.
Joanne Crevoiserat: Thanks, Matt.
Scott Roe: Thanks, Matt.
Operator: Thank you. We'll now move on to Brooke Roach with Goldman Sachs. Your line is now open.
Brooke Roach: Good morning, Scott and Joanne. Thank you for taking our question. What gives you confidence that the Coach brand can sustain its strong growth momentum in North America? Particularly as you begin to cycle very tough comparisons.
Joanne Crevoiserat: Yeah. Maybe I'll let Todd jump in.
Todd Kahn: Hey. I'm happy to take this question. I'm very confident in our growth momentum. In North America and all over the world. And my confidence is grounded in facts and experience. I appreciate that there was some concern about our ability to comp the double-digit growth in the quarter. But not only did we comp the comp in the most critical holiday period, we did it the right and sustainable way. Lower promotions, exceptional margins, and a 40% increase in marketing. Which is primarily designed to create desirability for the brand in the future, not simply in the quarter. We were able to achieve these results because of the exceptional talent and passion of the seasoned Coach teams around the world. Every day, they drive the business are focused on our consumers. It is their efforts that will deliver our $10 billion ambition in the future at best-in-class margins. Now let me turn let's look at what I call our confidence performance indicators or CPI. First, we introduced at our Investor Day, and Joanne mentioned earlier, we look at the TAM very differently. It's not just about swapping dollars from other brands. But the number of consumers we can bring into Coach and the category. And we're clearly doing that. When you examine the TAM through that lens, in North America, our market share is single digits. And globally, it's below 1%. Second, our focus on acquisition. Particularly with Gen Z, and soon Gen Alpha. Not only are we winning with them, but they provide our brand with a heat halo that positively affects all other ages. So when we talk about gaining 2.9 million consumers in the quarter, the highest in our history, If we simply hold retention rates, it will have a compounding benefit in the future. Third, our growth is overwhelmingly coming from our core category. Women's leather goods. That said, it is extremely balanced across family and brand codes. That can be built on and amplified. With no single family accounting for more than 10% of our sales. Four, AUR and units equally contributed to the quarter. Our AUR today is where the brand was fifteen years ago. And five to 10x below traditional European luxury. That said, we are clear-eyed in our sweet spot of the 2 to $500 price point to ensure we can continue to attract young consumers. On unit, we have significant runway. We are still below our pre-pandemic levels, 20% globally and 25% in North America. So to wrap it all up, our CPIs are strong. And gives us the confidence that we will deliver long-term healthy growth into the future.
Brooke Roach: Great. Thanks so much.
Operator: Thank you. We'll now move on to Ike Boruchow with Wells Fargo Securities. Your line is now open.
Ike Boruchow: Hey, everyone. Congrats on my end as well. Maybe for Scott, two regional questions. First, China, 5% plus from low double. Pretty impressive. Can you elaborate on the strength and outperformance you're seeing in that region? Is it share? Is it category? Is it both? Then I wanted to also ask, even though, you know, you didn't raise it, Europe holding at 20%, it's still pretty impressive. And there's actually several brands that have been reporting that have been talking down Europe a little bit. Given what they've been seeing recently. Can you just comment on what you're seeing in the European market how you're bucking the trend and just how you're kind of viewing the macro in that region? Thanks.
Joanne Crevoiserat: Hey, Ike. It's Joanne. Maybe I'll jump in here. And talk about strategically how we're thinking about international. As we talked about in our investor day, our international markets represent considerable opportunity for us. And I think what you're seeing around the world is the global resonance of our brand. And the effectiveness of our regional execution. We have teams on the ground, and we're building capabilities. So to your point, we did accelerate in China in the quarter. China continues to represent long-term opportunity for our brand. We performed well ahead of our expectations, but we're also well outpacing the industry in China. So I'll pause there for a second and say what is driving our growth and our share gains, significant share gains in the market? Is new customer acquisition, which is being led by Gen Z. So a consistent theme around the world. We are seeing growth across channels in China. Digital led the growth, which means we're meeting our customer where they are on the ground. And to your point, our updated guidance, we do expect over 25% growth for this year. We are growing share. But again, it continues to represent a significant long-term opportunity for us. And I'll touch on Europe, but then I'm going to toss it to Todd to give you a little bit of color of how we bring this to life because I think that's important. Europe is a consistent story. Right? We have an opportunity to grow penetration in Europe. It's low penetration for us today, and we see long-term opportunity to continue to build our penetration in Europe. And we're taking the same strategies of doing diligent and disciplined brand building in attracting a local consumer that's who's driving our growth, and it's a young consumer again. And, you know, the tactics and execution on the ground in each of these regions has been, at a very high level, getting to know their customers, and then, as I say, bringing that magic and logic together to deliver compelling product and experiences. But maybe, Todd, you can add a little color on how that's coming to life.
Todd Kahn: Thanks, Joanne. Let's go around the world in sixty seconds. But first, China, as Joanne said, first, let's remember, we're building on an incredible base. We've been there for over two decades. We have hundreds of stores. We are very close to the Chinese consumer. We integrate our marketing campaigns to make sure they're responsive to the Chinese consumer need. And I do think what continues to resonate is the idea that our value and values cut through. And then our relevancy most recently, we did a collaboration with Clot, a very cool streetwear brand in China. That reinforced all of those attributes of Coach. So we feel very good. You'll see us re-up more marketing in China in a very targeted city approach, not you know, not global across all of China. But very tactical. And we measure it, and we see it work. And then it gives us the confidence to put more money in. In Europe, it's such a fun and terrific story. Our team in Europe is doing a sensational job. When you really look at Europe, we talk about Europe, but, realistically, we're in England. And a little bit elsewhere. So the opportunity to continue to expand France is gonna be our next big push. And there, we're doing things in such so many right ways. We see a big wholesale opportunity. So you know, I think you know from Joanne Scott, and myself, we don't like key money, and we don't like buying temples for real estate. So we love the approach of going into youthful neighborhoods, where the stores can make money, and or wholesale and digital. And that approach is winning. And, again, what is so important, the consumer sees the value. Of our offering. And, ultimately, I think it'll allow us to grow for many years in more and more countries in Europe.
Ike Boruchow: Thanks, guys.
Operator: Thank you. We'll now move on to Rick Patel with Raymond James. Your line is now open.
Rick Patel: Thank you. Good morning, and I'll add my congrats as well. Can you provide a little more detail around AUR and the opportunities going forward how do we think about the benefit from pricing? And is there anything to flag in terms of sales mix towards larger bags? Certain quality materials that could be a swing factor, for AUR moving forward?
Joanne Crevoiserat: I'll just hit the top of the wave but let Todd talk about what's really driving AUR growth at Coach. But AUR, at TAP is about driving healthy growth. And we are driving healthy growth. We're driving AUR growth, in the quarter, We've been doing that consistently, and it's a function of brand heat and the investments we're making in our brands, the innovation we're delivering, and the quality that we deliver, I think the value proposition of our brands is unmatched in the marketplace. So AUR for us is not just a reaction to cost. It really is thoughtful about how we deliver a strong value proposition to consumers. And at the end of the day, AUR is a math equation. It's how the consumer votes. Right? AUR is the average unit retail of where they're placing their dollars. And we continue to stay close to consumers. To make sure we understand and leverage those insights into the product and experiences we're delivering, and we're seeing our customers respond. New customers are coming in at higher AURs, so we're driving healthy growth. And we got a great innovation pipeline to keep it going. But Todd, do you want to touch on that?
Todd Kahn: Sure. Thank you. Again, all the things that Joanne said are so relevant. And but when you go down one more level, first, let's talk about our sweet spot, the 2 to $500 range. That's a lot of range. To continue to take price where it makes sense. We also are constantly animating product. And that animation we do it in a way that the consumer sees the value. And that's how we get it. This is not a march up to just increase AURs on this like for like 10%, 10%, 10%, which we've seen other people do, and we know what happens there. So our task is to really always reflect back on value. We also benefit from mix. Mix is a big driver here. You've heard me talk about our one coach strategy. Bringing collection product into outlet stores raises AURs. We also are seeing a really interesting phenomenon, which is our customer, they may come in by a Terry as their first back. Their next bag is often a higher AUR bag because they've had such a great experience with Coach, they are aspiring to be even better. And that is so powerful for us. But there's two things that are important truths that I want to make sure everybody realizes. One, we are not gonna compromise our value to drive AUR. We will always ensure that the value of the product is there. Similarly, we're not gonna artificially drive units through promotion. That balance is how we achieve optimal results consistently over many quarters and years.
Rick Patel: Thank you very much.
Operator: Thank you. We'll move now to Adrienne Yih with Barclays. Your line is now open.
Adrienne Yih: Great. Thank you very much. Huge congratulations. Really powerful. It really, kind of the message that's coming through here very clearly is that the model itself, and the ten, fifteen years of discipline is actually remote. And so, Joanne, with that, having said that, it seems like you've always been sort of forward on your forward foot in terms of what's coming next and where to invest. From an IT perspective, how are you harnessing sort of the power of AI? How much of the CapEx IT is in these AI foundational investments? And how quickly can you see sort of some of the demand side payback, not necessarily the cost side efficiency? And then for Todd, the Kitslock I saw was back in stock in January. And then you mentioned that no product families are more than 10% really, I guess my question is, what's coming for newness this year, and how do you instill this culture of innovation right, without letting any of these particular franchises get bigger than 10%. Lot of times, we kinda get risk-averse when we're doing a little bit too well. So just you know, what have you instilled in the entire you know, creative organization that allows you to unleash that creativity. Thank you.
Joanne Crevoiserat: Thanks, Adrienne. Great question on AI. I assumed that I was gonna get a question on AI today. So I would say this is something that, as you mentioned, it's a competitive advantage for Tapestry. We are a direct-to-consumer business. We have a lot of data. And we've been working on harnessing that data. And leveraging tools. So we're already applying AI tools across the value chain from product development, as you know, to inventory management, to pricing, to marketing, AI tools are embedded. And what we've been focused on at Tapestry is putting the tools in the hands of the decision-makers in our organization, which is so critically important. And that is where I think that is the moat, to have our teams understand, trust it, and leverage those tools and those insights to make better decisions at Tapestry. And you're right. It does drive efficiency. But it's also driving growth. And we've invested for many years in these capabilities. In fact, we have a patented data fabric. So this is not new to Tapestry. I do think it's a competitive advantage. What that does is it positions us well to adopt new technology. And our teams are insatiably curious. They're testing and learning with these tools. And it is driving more efficiency. But also driving creativity. And I'll give you just a couple of quick examples. We have designers that are leveraging AI. They'll do a sketch. So there is still a human and a need for design eye. They do a sketch. But what AI helps is they can iterate on that sketch. They can do color multipliers. They can make design tweaks much faster than we could in the past. So the speed in the process of design inception and the idea through getting samples and working it through our process, increases. And when speed increases in our supply chain, and that product development timeline, that leads to better outcomes for our consumers and drives our growth. We're also using it in marketing to harness consumer insights and ideate on content creation based on those insights. Again, human in the loop. That human creativity and translation of the insights to creative content is important, but these AI engines are helping us speed up the process of creating AIs, do some testing, learn faster, and that speed is paying off in content creation as well. These tools are new, and our teams are aggressively testing and learning, and we'll see where it takes us. But we are well-positioned, to continue to drive with AI tools and with data.
Scott Roe: Fantastic. Maybe just a quick build, Adrienne, too. You asked about the investments. So of our $200 million of CapEx, we said over half of that was related to our stores. And the remainder is in technology. That's not a real big number in a company that our size. It's because of what Joanne said. A lot of that tech debt is behind us. And we have the foundation. So on it's more of a change management philosophy opportunity for us as opposed to a big investment challenge in terms of adopting AI. Sorry, Todd. Go over to you.
Todd Kahn: No worries. You know, one of the most pleasurable aspects of my job is to sit with Stuart our creative director, our merchant, and see what's coming. And the last night, I did a walkthrough for future product. It's just so good. You'll see it some of it next week. At our runway show, which is where we push the envelope, new ideas, new innovation, comes about. And what I love and what you've seen over the last probably almost dozen shows is the commercial aspect of our shows. Taking down ideas from runway and making them big commercial ideas is how we're winning on product. And a steward and the merchant are incredibly focused on making sure it's relevant to a timeless Gen Z consumer while at the same time putting it through the lens of is it coach? We don't just chase trends. Quite honestly, our team creates trends. And they're doing that with this consumer in mind. And this is the essence of what we've been saying probably twenty-five years now balancing logic and magic. It's really good. If you like the kiss lock, you're gonna love some of the new sizes that's coming in. Probably saying more than Stuart wanted wants me to say at this point, but it's really good.
Adrienne Yih: Fantastic. Congrats again.
Todd Kahn: Thank you.
Operator: Thank you. We'll move now to Bob Drbul with BTIG. Line is now open.
Bob Drbul: Hi. Good morning. Think this is for Todd, but generally, are you seeing any signs of demand slowdown in some of your signature styles like Tabby and Brooklyn? Especially as you know, if there's competitor silhouettes that have been launched and you know, can you just talk a little more about your innovation? Do you think that it's strong enough to drive incremental growth from where we are?
Todd Kahn: Yeah. Thanks. Thanks, Bob. That's a good follow-up question to the one I just got. You know, it's really interesting. Some of you have followed us for a long time. There was a period of time where maybe one silhouette or one colorway was pervasive. That's not the case today. Today, we are so well balanced, and was interesting we were hindsight literally earlier this week with our merchants and global buyers on the results of the last quarter. And we were looking at the future buys for the balance of this year and into next year. And we honed in on Tabby, the New York family, and Terry, I looked at the team. A little mischievously, and I said, TNT equals explosive growth. That's where we are. That's what you'll see. These are icons that will continue to fuel what we're doing.
Bob Drbul: Thank you.
Operator: Thank you. We'll now move on to Dana Telsey with Telsey Advisory Group. Your line is now open. Miss Telsey, your line is now open. Please proceed with your question. We'll move on to Mark Altschwager with Baird. Your line is now open.
Mark Altschwager: Great. Thank you for taking the question. Congrats on the amazing results here. Scott, just on gross margin, can you talk about what's driving the outperformance on the operational side? And how you're thinking about the opportunity there in the back half of the year? The guidance seems to incorporate maybe a bit of conservatism there given the first half results but trying to better understand, some of the puts and takes and the timing. Thank you.
Scott Roe: Yeah. Sure. Thanks for the question, Mark. Operational improvements as we call them are really driving the gross margin outperformance. So what does that mean? AUR is the biggest part of that. Also, we do have mitigating actions in the supply chain. Frankly, most of those start to accelerate as we get into next year. There are some mitigating actions related to tariffs that we see this year, but the lion's share of that next year. And maybe I'll just give you a little bit of shaping. But before I do, let's not bury the lead. We just took up our outlook for gross margin year over year this year, fully offsetting the impact of tariffs on a full-year basis. And as we've said since Liberation Day, right, there's gonna be quarter by quarter timing that's gonna be a little noisy and mess and we see that both in the guide for this year and as we think about going forward. And the reason for that is we at the time that the tariffs were imposed, you have inventory on hand, which needs to sell through, and then the tariff goods as they come in, it takes a while for them to sell through. So we'll see the majority of that tariff impact a little bit into next year, and then you start to comp for this year start to hit in the second half, specifically in Q3 and Q4. those impacts. And then, again, compounding AUR gains along with some of the mitigating actions which accelerate next year. So all those things together give us the confidence this year give a full-year guide of an increase in gross margin and also have the confidence to say next year, even off that base, we have confidence that we'll be able to continue to increase our gross margins as we look at fiscal 2027 and beyond.
Mark Altschwager: Thank you.
Operator: Thank you. We'll now move on to Michael Binetti with Evercore ISI. Line is now open.
Michael Binetti: Hey. Thanks, guys. Thanks. Let me add my congrats on this. Just I'm just curious on the units versus AUR. There was a lot of quarters in a row where the total growth at Coach looked exactly like AUR growth in the mid-teens. And then last quarter, saw the unit contribution looks like increased to about mid-singles, and now we're here in the mid-teens. Can you just talk to us a little bit about what's driven that acceleration and what you see is durable there. And then, I guess, Scott, looking out at the long-term model, you know, earlier someone mentioned you're getting close to your earnings guidance for '28. And the year is 2026 right now. I think '28 was guided to about $4.2 billion in SG&A. You'll get close this year, but SG&A is now guided to about 54% of revenues. Do we should we still think about SG&A at 55% of revenues on a higher base than '28? Or as we move to this new revenue level, is there potential to show better leverage in the out years versus the plan?
Scott Roe: Yeah. Do you want me to start with the sec yeah. I'll take the exciting part first, Todd, and then I'll give you the more pedestrian part. Just kidding, of course. So, yeah, you know, Michael, I'm not we're not gonna give new guidance right now as you can imagine. I appreciate your recognition that we are we are moving ahead. And I just point you back to one thing that I would I hope is evident now is we found a new gear of growth. Right? And as you think about how you think about Tapestry, how you think about this model, we've definitely moved into a higher echelon of growth. We talked about mid-single digits. Being our floor, and we're certainly moving or performing ahead of that. What it means for the future, I think you should take confidence we're not gonna I'm not gonna get into giving specifics. As it relates to SG&A, I will say this. As we continue to grow with the operational discipline we have in this organization, we would expect to continue to leverage in all non-growth enhancing parts of the P&L. So there will be leverage as you think about going forward with the accelerated growth, We also have said consistently we intend to keep investing back into the business and specifically in marketing. So do I expect leverage over time? Yes. In terms of what that looks like, we'll give you shaping as we get to the end of this year and look into next year.
Todd Kahn: Yeah. And so when we look at unit growth, you know, in handbags, they were both mid-teens. And we feel very good about that. Again, it goes back to this customer acquisition. Engine that we're driving. So that's driving unit. We're not churning units on promotion. And that creates much more sustainable long-term growth for us. That's why I pointed out that unit count from FY '19 is still materially down. So if you think about the math for a minute, 2.3 million new 2.9 million new customers in a quarter. Again, retention rates. One of the things we've talked about I'm giving you conservative guidance that the retention rates stay the same. We're seeing with the younger customers, they actually are coming back a little bit more frequently. So that is good news. But even if you take the conservative retention rate, as we keep acquiring more and more customers, and they maintain the retention rate, our unit count will go up. Then you take opportunities like that's one of the things we like about footwear. The frequency of footwear purchases is higher than handbags. So if we get them in through a handbag, they like footwear, Our productivity in our stores go up. Our unit count goes up. And overall connectivity with our customer and the brand is sustainable for a long period of time. So we got a lot of room to go on unit. But remember the two truisms I said. We're not gonna drive artificially units through promotions. We're gonna keep playing our game successfully over time, and I think that's how we'll win.
Michael Binetti: Alright, guys. Love it. Thank you so much, and congrats again, Encore.
Scott Roe: Thank you. Thanks, Michael.
Operator: Thank you. That concludes our Q&A. I will now turn it over to Joanne Crevoiserat for some concluding remarks.
Joanne Crevoiserat: Thanks, Leo. As we shared this morning, our ALPHA outperformance reflects the power of Tapestry, the result of deliberate strategies and disciplined execution over time that are driving our growth today and position us for the future. And I especially want to thank our exceptional global teams. This performance is yours, and it reflects the creativity and passion you bring for our customers every day. With strong fundamentals and momentum, we're moving forward with confidence. And we're focused on delivering sustainable growth and long-term shareholder value. Thank you for your interest in Tapestry and for joining us today. This concludes Tapestry's earnings conference call.
Operator: We thank you for your participation.